Operator: Good morning, ladies and gentlemen. Welcome to Dundee Corporation's Third Quarter 2020 Conference Call and Webcast being held on Monday, November 16 at 10 o'clock a.m. Eastern Time. I would now like to turn the call over to John Vincic. Please go ahead, John.
John Vincic: Thank you, Operator. Good morning, everyone, and welcome to Dundee Corporation's 2020 third quarter results conference call and webcast. The company's financial results were issued this past Friday evening and are available on our Web site at dundeecorporation.com. Before we get started, please be advised that the information discussed today is current as of September 30, 2020, unless otherwise indicated and the comments made on today's call may contain forward-looking information. This information by its nature is subject to risks and uncertainties, and as such, actual results may differ materially from the views and expectations expressed today. For further information on these forward-looking statements, please consult the company's relevant filings on SEDAR. Also, please be reminded that all currency amounts discussed on today's call are in Canadian dollars unless otherwise stated. Our presenters today are Jonathan Goodman, Dundee's President and Chief Executive Officer; and Robert Sellars, Executive Vice President and Chief Financial Officer. And now, I'd like to turn the call over to Jonathan Goodman. Jonathan?
Jonathan Goodman: Thank you, John, and thanks to everyone for joining the call this morning. Let me begin today's call by acknowledging our employees for continuing to maintain productivity levels and business continuity during the COVID-19 pandemic. Our employees continue to work from home as we wanted to recommend patients from public health officials regarding return-to-work guidelines. Once again, on behalf of senior management and the Board of Directors, I'd like to extend a sincere thank you to all of our employees. Now, I'd like to turn to today's presentation. As has been the focus since I returned to Dundee in early 2018, we continue to execute against our strategic business plan. In this most recent quarter and subsequent to quarter-end, that meant to continued focus on streamlining our capital structure. To that end, in September, we completed a substantial issuer bid for our Series 2 Preferred Shares, resulting in reconciliation of nearly $47 million of preferred shares at a cost of $38 million. Subsequent to quarter-end, we also successfully completed the early discounted exercise of DPM warrants, generating $57 million in additional cash. I'll speak in greater detail about both of these events in a moment. What I do want to emphasize now is a consistent lowering of our D&A since I rejoined Dundee. On a consolidated basis, at the end of -- at the head office level, we have significantly lowered our D&A during the quarter and year-to-date compared to same periods in 2019. For the third quarter, head office G&A was less than $3 million, and year-to-date, it was less than $12 million. While impressive, I believe we can do better. As we continue to optimize our corporate structure, we would expect our head office G&A to continue to decline. With a successful repurchase of almost 2 million Series 2 Preferred Shares in the third quarter, we reduced our total Preferred Shares outstanding from around $210 million when I rejoined Dundee to approximately $79 million at book value today. In the process, we have lowered our dividend payments by another $2.6 million. Subsequent to the end for the third quarter, we announced the early discount exercise of Dundee Precious Metals warrants at an exercise price of $7.60. This is the exercise generated nearly $57 million in cash for Dundee. So, we do not expect it will be a taxable event for the company. With a continued economic geopolitical and market uncertainty including the ongoing effects of the COVID-19 pandemic, our management team and Board of Directors felt that this is a prudent step to take at the time. A total of about $4.1 million warrants remained outstanding and can be exercised at the full price of $8 up until May 13, 2021. With the full amount -- our exercise, this will generate an additional $33 million for Dundee. Following the early warrant exercise, we had a $140 million in cash on the balance sheet, offering us significant strategic and financial flexibility which I will discuss in greater detail in a moment. Now, I'd like to turn to a discussion of our mining strategy. Most notably, today I want to touch upon the macro themes impacting the mining industry in a positive way. I spoke about those at the AGM, but I think it's useful to cover them again briefly today. In spite of the recent pullback in gold prices, we remain very bullish on the outlook for gold miners and explorers. Currency debasement has not abated and there's still significant geopolitical risk in the world today. That risk back up is one of the reasons we felt compelled to offer an early discounted exercise on the DPM warrants, and conversely, it is one of the reasons why we continue to believe we are in the early innings of a prolong bull market in gold. I'd also like to note that the impact of COVID-19 vaccine on gold prices -- as we've seen in recent days, use of a vaccine sent gold prices lower. Clearly, the world needs a vaccine, but we don't believe that this will bring an end to the gold rally. In fact, the gold rally began before COVID-19 and the pandemic merely accelerated its trajectory. In our view, the fundamentals for gold remain strong and we continue to believe in the positive long-term outlook for the metal. The transition to a greener and more sustainable economy is still in its infancy. Renewable power, electric cars and other greening effects on a broader economy are still beginning to take hold. Fundamental shift is reliance on a variety of metals including copper, nickel, zinc, PGMs and other metals. This transformation will not happen overnight. Instead, it will happen over a period of years and decades, and while we cannot predict the exact speed at which it will occur or the precise amount of metals it will require, we can be sure that the fundamentals are taking shape to support a sustained demand for these metals over a long period of time. We foresee the mining industry being on the frontline in the fight against climate change. Major industries across the world are making commitments to help in this fight. A paradigm shift is taking hold on a global basis and the mining industry is critical to its success, and we see Dundee benefitting from this for many years to come. I'd now like to take a turn to review our mining strategy. These macro themes are driving strong returns across our mining portfolio in 2020 with the expectation this momentum will continue in 2021. As I have noted before, Maritime Resources, Saturn Metals and Centaurus Metals are three investments which have performed well for us this year. Each is led by a strong management team, and we believe all three are poised for more success in 2021. Maritime Resources is developing the Hammerdown gold deposit in Newfoundland. Led by Garet McDonald who is a very strong mining engineer, they will be completing a feasibility study in the first-half of next year, and our expectation is sometime next year we will be working with them to plan on bringing this mine into production. Saturn Metals is an Australian company, drilling a very significant gold deposit in the Kalgoorlie Gold Belt. Also, with a very strong management team, they've been discovering and drilling off a lot of gold. Since their last resource statement which had about -- I think about 725,000 ounces of gold at around 1 gram grade they've been drilling all year-long and adding many ounces to that, and our expectation is before the end of this year, we should see a new resource which we believe will be through a million ounces of gold. And Centaurus Metals owns the Jaguar Nickel Project in Brazil, which we believe is one of the top undeveloped nickel assets in the world. They have a very significant resource. It will most likely be a combination of an open pit and an underground mine, and they also have an affluent management team with tremendous amount of nickel market experience, and their nickel is poised to be used in the battery industry. As noted in our AGM, our business model evolved and is now focused on three distinct investment strategies. Let me recap each. Our CMP platform provides us access and exposure to early-stage exploration storage in Canada through our flow-through funds. Our venture capital fund which we launched this year provides us with exposure to earlier-stage companies that are smaller but have good geologic potential. These companies also have the potential to incubate and grow over time through exploration success. Our initial $12 million investment in this fund has nearly doubled and has generated nearly $1.6 million in fees and we see strong potential for future growth, and our private equity style portfolio allows us to consider larger investment opportunities. It also provides a platform for us to leverage so we can attract third-party capital enabling us to expand our fee-base as we pursue larger investment opportunities. The diversification occupied strategy helped us mitigate risk while providing us with broad exposure across various metals in geographic jurisdictions. Our results today in 2020 have been positive and we believe our portfolio is well-positioned for growth in this rising metal price environment. As I noted last month in our AGM webcast, we have built our Mining Merchant Banking capabilities, and today we have one of the strongest investment and deal teams in the industry. Our teams in Vancouver, Toronto, and overseas are talented and truly world-class. Many of the people on the team are handpicked and have had a long track record of working successfully with me over the years. The combination of capital markets experience and mining expertise help set us apart from the competition, and it's this competitive advantage that we will leverage to keep driving this business forward. However, as a mining investment house, we need to either raise the fund, get a larger slice of the deal that we're investing in or bring in deals that will provide cash flow, and while I'm happy with the performance this year, we will look to do more with this platform to drive recurring business and grow revenue. Now, let me conclude my opening remarks with an update on our capital structure. As noted earlier, we currently have approximately $140 at the head office. That's a very strong cash position. With a successful substantial issuer bid for our Series 2 Preferred Shares, we also lowered our annual dividend payments by $2.6 million. Our strong cash position today provides us with optionality we did not have two years ago when I rejoined Dundee. Today, we are well-positioned to continue funding our mining strategy while also considering options to return excess capital to common and preferred shareholders. On the latter point, we are still in the process of determining the best way forward and are currently reviewing various options with our Board of Directors. Now, I'd like to turn the call over to Bob Sellars for review of our financial performance. Bob?
Robert Sellars: Thanks, Jonathan. Let me begin my review this morning with the discussion on the recent development of which Jonathan has mentioned many of them. On September 9th, the company completed a substantial issuer bid for the Series 2 Preference Shares at a price of $19.50 per share. Almost 2 million shares of 63% of the outstanding class -- shares were retired. The cost was $38 million, plus a $500,000 in dividends, resulting in annual savings of $26 million in dividend payments and a further savings of a million dollars in annual dividend taxes. The market value of the publicly-traded securities increased from $141 million as of June 30th, 2020 to $170 million on September 30th reflecting market appreciation and some net acquisitions. As of November 13th, the value was approximately $94 million, of which $36 million made up of the remaining holding DPM shares which will be limited to $33 million in 2021. The drop reflects the selling of the DPM shares through the early warrant exercise. The share price of DPM increased from $8.94 on June 30th to $9.48 as of September 30. United Hydrocarbon has reported a $1.7 million gain on [indiscernible] and contingent consideration. We continue to monitor the effect of the global oil markets and future carrying value, as well as the ongoing changes in operations at Delonex, which declared [indiscernible] at the onset of the pandemic. In the first quarter of 2020, the B.C. Lottery Commission suspended all casino operations in the province and that remains in effect today. Hotel activities at Parq are beginning to ramp up, but needless to say, COVID-19 has presented challenges for the operations. At the start of the pandemic, Android had plant closures in Europe, China, United States, Canada, Mexico and Brazil -- [technical difficulty] and operational. Dundee Corp. employees continue to work from home during the pandemic and we have been able to maintain steady state operations as Jonathan noted earlier. Now, let me turn to summary of the third quarter results. The Q3 pretax gain was $21.6 million compared to a pretax loss of $49 million in Q3 2019. The Q3 [indiscernible] royalty was $1.7 million compared to a million gain in 2019. The corporation's carrying value of the royalty, contingent consideration, cash receivables is now at approximately $39 million. As mentioned in Q1, we have written down our investment in Parq to know, resulting in an $11 million charge in the first quarter. We are monitoring developments in that business. The portfolio had valuation increase of $24 million in Q3 from the mining portfolio compared to a $16 million loss in the same period in 2019. Blue Goose had a gain of $2.7 million in the third quarter compared to a $9.4 million loss in Q3 2019, which included a $10 million impairment charge. Our other operating subsidiaries such as GCIC, Dundee Sustainable, AgriMarine, and Dundee 360 had a combined $1.7 million loss compared to a loss of approximately $2 million loss in Q2 and a loss of $1.3 million in Q3 2019. The equity accounted losses were $2 million in Q3 compared to a $2.2 million gain in the current year. The loss was primarily impacted by a $2.3 million write down of Dundee Sarea, offset with small gains in Android. Our consolidated G&A in the third quarter was $6.8 million compared to a prior year period of $9.6 million, which included increased stock-based compensation and insurance cost. On a year-to-date, consolidated G&A was $20.6 million compared to the prior year $27.9 million. A significant reduction and a trend we continue -- we see continuing for remainder of the year. Head office G&A for Q3 was $2.8 million compared to $6.7 million in Q3 '19. Corporate head office year-to-date G&A was $11.7 million compared to $16 million for the same period -- nine month period in 2019. We continue to reduce our corporate run rate, and we expect our G&A to continue declining subject to ongoing downsizing cost. As previously mentioned, our cash position currently is approximately $140 million after the early discount exercise of the Dundee Precious' warrants. We have had no further developments with the CRA and continue to have $12 million amount on deposit regarding the 2014 tax year plus another $1.8 million from the 2015 and 2016 tax years, which are separately disclosed on the balance sheet. Overall, we are pleased with our improved balance sheet and the ongoing efforts to streamline our capital structure. This concludes our financial review for the quarter. And I will now turn the call back to Jonathan.
Jonathan Goodman: Thank you, Bob, for your thorough and comprehensive update. I'd like to conclude with a brief overview before we take your questions. We have injected momentum into our businesses by developing a track record of executions in 2018. We will keep building on that momentum as we close our 2020 and look ahead to key strategic priorities in 2021. Our focus on G&A has helped us achieve significant expense reductions across our business. We see the potential for further savings by reducing our real estate footprints in 2022. Remote work during COVID-19 has taught us to rethink the future of the office. In doing so, we believe we can maintain productivity while lowering our real estate cost and that we continue to reshape our business. A lower head office G&A run rate is our goal. As part of our mining strategy, we are working on plans to bring in cash flow. Attracting third-party capital can help us generate more fee business by accelerating our growth plans in the mining sector. With added scale, we can also increase our participation in deals and boost the size of our investments, and ultimately, our goal is to grow the cash flow generation from the business, and we think we are on the right path to achieving this objective, and we will pursue this aggressively in the coming months. The continued rationalization of our legacy investment portfolio remains a priority. Discussions with third parties are advancing and interest in Blue Goose and TauRx remains high. Monetizing these non-core holdings can potentially have a significant positive impact on Dundee's financial position, and we will continue to work diligently to advance both these and other files. As noted earlier, where appropriate we will consider means which we can return excess capital to shareholders. This is most likely will be done through either a normal course of substantial issuer bid for rather subordinate voting shares or preferred shares or through dividend. We are actively considering our options with input from our board of directors. As I mentioned last month at our AGM, we are shifting from defense to offense. Much of the heavy lifting to right size our business has been done, and while much more work remains, we are encouraged by the progress we have made since early 2018. We can look ahead with optimistically confidence that our strategy is sound. Our results in our mining portfolio and the work of our mining merchant banking clearly show we are heading in the right direction. And now, would happy to answer your questions. Operator?
Operator: Thank you. [Operator Instructions] Your first question comes from Brett Reiss with Janney Montgomery. Your line is open.
Brett Reiss: Good morning, gentlemen. Glad to see everybody is well in these trying times.
Robert Sellars: Thanks, Brett.
Brett Reiss: The junior mining platform that you have, do you have any idea what percent of the $140 million in cash you are going to kind of set aside or earmark to grow that business?
Jonathan Goodman: Well, that's kind of what we are working on right now. So, I am not going give you a number at this stage.
Brett Reiss: I mean could it be 50% of it, 20% of it? Any color?
Jonathan Goodman: I don't have any color for you right now, Brett, but we will work to get you more color.
Brett Reiss: Right, when you come up with that number, what remains -- I guess you could do a share buyback or you could pay a special dividend. I know this is a state of discussion at the board level, but Jonathan, can you give me a sense of where your inclinations may be leaning with those two alternatives for corporate cash?
Jonathan Goodman: Well, as I said, Brett, and I am sorry, I can't give you a lot of more color on that right now, but obviously a big chunk of that money will remain with the company that we have right now, and the question should be of future monies that we liquidate. We do have a lot of significant assets that we haven't liquidated. What percentage of those will be in -- we are working hard to get you better answers than we are giving you today.
Brett Reiss: All right, that's okay. How are the discussions going regarding the potential monetization of TauRx?
Jonathan Goodman: Well, there is no issue with the discussions of that or even of the Blue Goose. The question is -- and we don't have an answer as to when we can get these discussions to the finish line, and I would say that one of the casualties of the COVID pandemic is that it's become a lot harder to do business internationally and particularly when you are trying to sell things and people need to do diligence, and the ability to face-to-face meetings is hard in other countries including ours are closed. Getting deals to finish line seem to take a lot longer, but we're still -- the good news is we still appear to be heading towards that end as the right end results, but it's taking longer than we had hoped.
Brett Reiss: Right, right. Now, I know that the other day in the United States the special committee of the FDA struck down an Alzheimer's drug by Biogen. Would something like that since there is one less potential competitor be a positive for the valuation we might ultimately get for TauRx?
Jonathan Goodman: Well, I think Biogen's drug -- well, has some similarities to TauRx. I think it also has a lot of things different, and I can't really recollect intelligently enough about their drug to you. It's always better when there is a fewer competitors out there, but the real market the company is attacking is in the Far East. I mean they're also spending time to try in the U.S. as well, but the Far East seems to where a lot of things are happening for TauRx.
Brett Reiss: Okay, and one last one and I'll drop back in queue, as a courtesy for other questioners. Are you -- with what's going on with the oil and gas industry, are you considering just selling the Delonex royalty?
Jonathan Goodman: Well, we haven't had any discussions. I mean right now, once again, the state [indiscernible] is that the company has declared a force majeure if they can't get their drill rigs and all that going. I believe that's with the oil price down there's been a lot of management changes at Delonex, and the asset is still in a force majeure. I think it's in everybody's interest to see how that plays out, but certainly if we tired to sell it right now, yes, we would not get a lot for it.
Brett Reiss: Right. Thank you for taking all my questions, and I'm going to drop back.
Operator: [Operator Instructions] Your next question comes from Mark Vanry with Vanry Capital. Your line is open.
Mark Vanry: Morning, guys. Thanks for taking my question. Following up on the first part of the question from the previous question, with your healthy cash balance, looking at where you're trading, you're currently trading less than half of your net asset value, and looking at that and looking at the cash balance, and simply running some numbers, the most accretive thing you could do is by back your own shares at this point in time. Be easy to, for example, buying 50 million share at $1.50 would be about 300% accretive to common shareholders. So that's just one potential scenario, the cash balance could take care of that. So the first question is what do you plan to do as far as the buyback? And number two, I want to get more of your thinking on why you bought the prefs over the common, the common are very accretive. With the prefs, you had plenty of cash on hand in order to pay the dividends on those. So it just seems that buying the common makes a lot of sense for all shareholders, and certainly that implies a lot less risk than adding to your junior mining portfolio at this point in time.
Jonathan Goodman: Okay, well, but first I'll just take the second part of the question first. When we did the deal on the prefs we said very clearly that this is a first step of a process that's likely going to be many steps, and so it wasn't that we chose we're going to buyback the prefs over the common. We felt that we should start with the prefs, or some of the prefs. We didn't make a bid for all of our prefs. We only bought the -- we only made a bid for the ones that had the higher dividend rate. That's number one. Number two, is the second step we've done is we've taken in some of the warrants, and now we're working to discuss where our next steps are, as I said in my remarks. We understand the math that you're talking about. With regard to our portfolio, we have not -- well, while we're very happy with our portfolio investing and the way it's gone, we have not spent a lot of money on the portfolio year-to-date. I think it's significantly less than people might think. I think we've -- it's less than -- it's probably $25 million and $30 million over the last two years, and we are actively looking at everything, and that's about all I can say right now.
Mark Vanry: Yes, just following up a bit. Again, I think the best thing that for all common shareholders. I realize you're looking at multiple different uses for the cash right now, but to me it seems like overall the least risky way to move forward with at least a portion of your very large cash balance would be to buyback -- initiate a significant share buyback. Thanks for taking my question.
Jonathan Goodman: Thank you.
Operator: I'm showing no further questions at this time. I will now turn the call back over to the presenters.
Jonathan Goodman: Okay. Sorry, I apologize, because my iPad turned off here. Thanks again everyone for joining today's call, and I hope you all have a wonderful day. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.